Glen Nelson: Good morning everybody. My name is Glen Nelson. I’m the Investor Relations Manager for Parkland Fuel Corporation. At this time I would like to welcome everybody to Parkland Fuel’s results conference call for the third quarter of 2013. Following our discussion there we’re going to have discussion around our announcement of our acquisition of SPF Energy Inc. with President and Chief Executive Officer, Bob Espey; and Senior Vice President and Chief Financial Officer, Mike Lambert. After their remarks there will be a question-and-answer session. And also with us to take questions we have with us Irfhan Rawji, Parkland’s Vice President of Strategy and Corporate Development. And so at this time I would like to everyone to know that we placed all the lines on mute to prevent any background noise. Also please note that while talking about our results and answering questions, Bob and Mike may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For more information please review the forward-looking statements and the business risk section of Parkland’s third quarter 2013 Management’s Discussion and Analysis, which along with this quarter’s news release and our unaudited financial statements can be found on our website at www.parkland.ca, as well as on the SEDAR website. Dollar amounts discussed today in today’s call are expressed in Canadian dollars and are generally rounded. And so with that I will now turn the call over to Bob Espey. Bob?
Robert B. Espey: Great, thanks, Glen and welcome to Parkland, Glen. Well, it’s great to be able to give you guys our quarterly update we are in Minot, North Dakota at SPF Energy. We’ve just finished meeting with the employees here and have had a great discussion with our new team members and are going to spend the day here meeting employees and welcoming them into Parkland. The purpose of the call today is to give some insight into the third quarter, talk about this great acquisition we’ve just announced with SPF Energy and then provide some context within the pending plan as to how it fits. I am going to get right into a review of our scorecard for the quarter and then have Mike review our financial results. As many of you know prior to our announcement today we’ve made a number of significant acquisitions this year and our plans to integrate these acquisitions are still tracking according to plan. And the aggregate results from these operations are either inline or above our expectations. Year-to-date our base volumes are down 83 million liters due to continued softness in the commercial fuel business environment, coupled with self elected reductions resulting from Cango closures and the discontinuation of a low margin market agreement with an industry participant. On the good news side, on the organic growth our sales team continues to have significant wins in the field and in Q3 on the commercial size we won roughly 80 million liters of new business that will land in Q4 and through next year. So we’ve made some good traction on the sales side. We are also tracking very well in our supply area. Remember we are limited from saying too much here due to competitive concerns and confidentiality agreements. But it does need to be pointed out that refiners margins have had a significant impact on our business in the third quarter. Crack spreads on the gasoline side fell from the highs as we saw throughout last year and into the early month of 2013 with the end of the Suncor contract following the fourth quarter we are very encouraged by the progress we’ve made in securing supply profits. Many of these contracts will come into play within the new year. We are slightly higher on our total recoverable injury frequencies than we would like. However we maintain our focus on operating in a safe and effective manner and continue to drive towards the zero injury rate. I’ll now turn over the call to Mike to review our financial results.
Michael R. Lambert: Thanks Bob. I don’t know if everybody on the call heard but you may have heard in the background there was a train going by and here we are in Minot, North Dakota and we are right, the office is actually just in front of the [DN] rail line. And the trains going by is an indication of the kind of economic activity we see around here. So you may hear some more trains going by. The next slide is one of my favorite slides, which is the waterfall slide we call it. And the story on the quarter is pretty simple. I usually go from left to right but I am going to go right to the big red bar on the right. Last year we had EBITDA of about $60 million and this year we are about at $38 million and the story on the quarter is essentially refining margins are off. And we disclose that as you all may know we disclose that in our business driver letter, that we issue and by the way if you’d like to get hold of our business driver letter just go to www.parkland.ca, I think it is Glen and we can get you on that subscription. We are and in terms of the refiners margins we are tilted towards gasoline. Our volumes are heavily weighted towards gasoline. So the refiners margins on gasoline actually disappeared in the quarter. And so that’s the story in the quarter if you take that out of our results, you’ll see that we are actually up and we started off -- I'll go back on the left now, commercial. Commercial did had experienced some continued head winds in the quarter with right in the oil patch, mostly in the gas area and then off-course in the resource sector as well so some softness. But as we you heard Bob saying we are encouraged by what we are seeing in the current quarter, in the sense of we have some wins but are offsetting those headwinds. Retail fuels is up mostly in a gross profit area or mostly in gross margin, even though their volumes are down slightly and again Bob mentioned some self inflicted volume decreases. The operating expenses are slightly higher and that’s actually a good news thing. They are slightly higher because we’ve increased some activity, especially in Bowden. So Bowden we actually had some positive news in the quarter and Bowden there to actually offer some supply and we have one of our major suppliers had a, what they call a turnaround and we were able to store some fuel for them. So we actually made some money in Bowden and that why our operating expense expenses are higher. MG&A flat and that’s despite increased activity in the company and then of course the big good news on the quarter is acquisitions contributed $7.1 million and that’s mostly from Elbow although we are encouraged by our other acquisitions. Sparling’s Propane wont kick in until the weather gets cold. So we like cold weather. So when we are in colder climates we don’t complain. So that’s essentially the news in the quarter, refiners margins were down. Other than that we were up on the quarter. I’ll now go to the next page and I like this numbers page because what we’ve been saying about our positive cash flow is it contributes to the positive metrics throughout the organization. So adjusted EBITDA is 38 versus 61 and that just essentially cascades down to, net earnings is down, earnings per share is down, distributable cash is down and as a result our payout ratio is relatively high at 79%. Despite that our net debt-to-adjusted EBITDA is still a very healthy 1.5 and our interest coverage is actually 8.1 times versus 7.1 times a year ago. ROCE still a very healthy over 20%. So all the metrics are still very positive and you will see that as a result of the very healthy balance sheet we were able to make an acquisition that we will talk a little bit about in the upcoming pages. On the next slide, and this is what we disclosed in our business driver, you will see the refiners margins are down to historic lows, especially in gasoline and we are heavily weighted in gasoline in terms of how we participate in refiners margin, our refiners margin contract. And as a result that’s why the big decline in the quarter. The interesting thing is that I think everybody is aware that this refiners margin contract expires at the end of this year and so this quarter is a good indication of what our quarters will look like next year and I am going to have -- I am going to add one caveat on that, we do have seasonality. And so this is a low quarter for us on a seasonality basis. You will see our first and fourth quarter tend to be a little bit higher and so this would be a low quarter. And keep this in mind when we start talking about guidance later because I think some of you will wonder how we are talking about guidance for 2014, keep this quarter in mind as we talk about that. Now I turn it back to Bob.
Robert B. Espey: Great, thanks Mike. I will spend a bit of time talking about SPF Energy and why this acquisition makes sense for Parkland. SPF Energy is very complementary business to Parkland. It’s got a large wholesale business, a retail business it has both company-owned and dealer and it's got a lubricant's business. So very much sustained sort of business mix as Parkland and it provides us with a really attractive entry point into the U.S. in a market that we really understand. So we understand non-urban markets that have a heavy oil and gas presence and also allow us to leverage our strong supply position to drive immediate and future growth through the brands here which are Farstad Oil and Superpumper. So a bit about Farstad Energy. First and far most what we are acquiring with Farstad and SPF is great management team. So we are -- the team is committed to stay and support Parkland in growing their business in the Northern tier of the U.S. SPF Energy's supply center distributes approximately 300 million gallons or 1.1 billion liters of gasoline and distillates. They supply over 200 independent gasoline stations, 60 branded locations that includes [Cenex], Conoco, Exxon, Shell, Lesoro, and Sinclair. They also have rail transport facilities with 40,000 barrels of storage in Minot which we will very much benefit from our Elbow River division and supply optionality that they will bring to this business. SPF also owns and operates 15 Superpumper convenient stores and has 350 employees, 200 of which are convenience store employees and 145 are operational employees to support the business day-to-day. When we take a look at SPF and Parkland, that there is a lot of similarity and where we can see differences we can also see the opportunity in driving larger commercial business through the SPF business. So the strategic rational, so again this business is very complementary to Parkland, it’s in an area of strong market growth. So the North Dakota economy was the most rapid growing economy in the U.S. last year and the forecast is it should continue to be so for the foreseeable future here, largely driven by the Bakken and the oil and gas exploration in the region. Very similar business make up, again complementary operating models, fit well within Parkland business mix. We really understand this business but at the same time we are also aware that this business is in the U.S. and we need to maintain it as a U.S. run business. This very favorable entry point into the Northern tier, we understand the market dynamics, we also understand the supply dynamics specifically. Although early days we can see the supply opportunities we can bring to bear through our Elbow River marketing division, particularly when that applies to diesel and as many of you will recall from previous discussions as we look at our business around supply orbits the Western Canadian supply orbit is particularly long, fits the list and will be going getting longer and the opportunities for us to export product into SPF and allow this business to grow. I will now turn the call back over to Mike who will discuss the metrics of the deal.
Michael R. Lambert: Thanks Bob. So in our next page we gave the highlights of the deal and I will go over the numbers and then I will talk a little bit more qualitatively because it’s actually we’re sitting right here in Minot and having met some of the team and actually the leaders and then some of the team here we’re pretty excited. The purchase prices are $110 million. These are all in Canadian dollars and I will talk little U.S. dollars because obviously this is a U.S. dollar transaction so $105 million in U.S. The amount of debt that we are assuming is negligible so essentially no debt. The EBITDA we are getting is $20 million or that’s about $19 million in U.S. dollars and that’s a multiple. I think we can all do the calculation 5.5 times. So it’s a pretty good multiple for an acquisition. And what I really like about this as the CFO is it’s accretive. I mean it’s accretive to both net earnings and distributable cash on both -- at $0.13 and $0.12 respectively. But one of things that really excites us is the question comes up why did we choose this company. I would tell you that Jeff Farstad, the owner more chose us. He looked at Parkland, liked our culture, liked how we’re going to take care of his people. We need his people actually to help us grow in this robust economy and as a result he’s actually taking some of his consideration in Parkland share. So 20% of the deal he’s taking in Parkland share. So it’s a vote of confidence for us and it’s actually a very good marriage of two good great companies. And on this next slide I will talk a little bit about North Dakota. So North Dakota, probably unknown to many is the highest growth economy in North America and it is because of the Bakken and where we are in Minot, North Dakota is actually right almost in the heart of Bakken and so that’s one of the great things about Farstad, is it has the opportunity to grow. It has some challenges and the challenges have been supply. And like Bob mentioned one of the biggest things that we’re bringing to them is the supply capability, and that’s through Elbow River Marketing. So this has the elements of one of a great partnership and what they bring to us is a great management team and right in a high growth area. And so we’re really looking forward on us standing together and growing together. And with that I will turn it back to Bob to talk about, to give us an update on the Penny plan.
Robert B. Espey:  Okay, great. Thanks. So as many of you know in 2012 we presented our Parkland Penny plan which laid out our goals of doubling our normalized 2011 EBITDA of $125 million by 2016 through three levers, growth, supply and operate. Now what I would like to do is provide to you an update, particularly in the context of having just acquired SPF Energy. So basically when we look at doubling our EBITDA I am proud to say we’re now over half way there. So through the acquisition of SPF coupled with the operational improvements we have made in our business. We basically have $66 million towards that goal of doubling the business. And so to put some context behind that, again the EBITDA that we have acquired from three businesses recently through Elbow River, SPF Energy and other small acquisitions for a total of $47 million. We have identified synergies of $8 million and then on top of our internal efficiency initiatives we now have $66 million of benefit to the corporation, which is a great progress. We are really two-third for the away or three quarters of the way through 2013 here so after a year and three quarters we’ve already reached the half our target well on our way to achieving the full target by 2016. I’ll now turn it over to Mike and Mike will talk through our 2014 EBITDA forecast.
Michael R. Lambert: Okay. Thanks, Bob. And so as you'll recall and when we were talking about the quarter I said keep this quarter in mind as we talk about the forecast. So we’re in the process of acquiring Farstad. It's going to add $20 million to our EBITDA. And we’ve upped our guidance quite simply just by $10 million in our guidance and I say quite simply because you will recall the range that we had put in our outlook when we had our Analyst Day which was an update on our Penny plan this past year was a range from $175 million to $209 million for 2014. And we had indicated at the time that when we get into our third quarter disclosure we’ll provide an update on our guidance for 2014. It’s nice that we were able to announce this acquisition at the same time. And by the way the timing just happened to be coincidental. Anybody who is involved in transactions you know the amount of effort and activity that has to go into these things and it all came together right at the right time. So this was our planned quarterly release date and it has to be the date that we’re able to announce the acquisitions, so it was quite timely. But with the acquisition and with our numbers we have previously put out there we had assumed that we would have acquired an equivalent of $10 million in EBITDA by now, we got $20 million. So it allowed us to actually increase our outlook for 2014 by $10 million and that’s what we’ve done. Now why I said keep in mind the quarter because I think some of you maybe questioning okay well how do you come you with that number and how can we get comfort on that number? If you take this as a typical quarter because the refiners margins have actually almost disappeared in the quarter, call it $40 million. And it’s seasonally low, you just multiply that by four you add Farstad earnings and you add some of the initiatives that we’re talking about next year, you get into the zone we’re talking about. And so you can do the math, I don’t need to do it for you but that’s just to give you some comfort on our forecast. Now I’ll go to the next page which shows you a little bit the detail. And the detail shows you the range for 2014, ’15 and ’16. Again I won’t go over this one because if you followed on our Analyst Day and by the way it’s on our website if you want to get hold of it. We gave these ranges on the Analyst Day and essentially we are upping in the forecast for each of the years quite simply by $10 million. Now it's not a secret but we’ve been saying this all along. The acquisition pipeline continues to be very robust. We’ve been saying that and I think we’re not surprising many by this announced acquisition. We still have many opportunities right in front of us. And the assumptions on and I’ll remind everybody the assumptions for the forecast and I’ll just talk about what the expected assumptions are. The expected assumptions are that we’re going to acquire companies having EBITDA of about $12 million annualized each year. And so that’s what this forecast assumes. With that I’ll turn it back to Bob.
Robert B. Espey: Great. Well thanks, Mike. That concludes the presentation. Again just putting the quarter in the context made some great progress on our internal initiatives. Unfortunately we’ve seen the volatility of the Suncor contract affect the quarter but again very confident in the business, renewed guidance for this increased and a great acquisition that will create some great value for our shareholders. So another great quarter at Parkland and would like to open it up for questions.
Glen Nelson: Great, thank you. So that concludes our formal discussion. Operator if you could put through the questions please.
Operator: (Operator Instructions). And your first question comes from Carson Tong from RBC Capital Markets. Your line is open.
Carson Tong - RBC Capital Markets: Thanks. So it looks like you’ve made another solid acquisition in a great location, North Dakota but paid a slightly higher multiple which is just about the five times the upper end of your targeted range. Will you be able to generate or identify similar synergies from this business as well and drive down that effective EBITDA multiple paid?
Robert B. Espey: Yeah first, Carson we think the 5.5 multiple of great value in this market. This is a high growing market, last year grew by 10%. So there is certainly a growth component to this business that we intend to push. So the other pieces and we have always been clear Caron that the multiple is impacted by the quality of the asset. So again for high quality asset, the price will be above five for lower quality more wholesale type businesses it will be lower. So we think this business is attractively valued at the price that we have paid and again with regard to synergies, the synergies will come. They are not really synergies, I mean they really come from supply first and foremost and there will be come savings there as we wrap our supply capability round it. And then the second is growth. I mean it's really, this is the growth opportunity for us in a market again that’s growing at 10% annually and also in a business that's has been constrained because of its access to supply. So as Mike had indicated when we met with Jeff Farstad who is the owner of SPF he really liked Parkland, our culture and he really like our supply capability and the fact we have access to rail cars through Elbow River because the team here has always felt, particularly in the last five years that their biggest constrain is supply. So we that we can really get some growth going here through that.
Carson Tong - RBC Capital Markets: That’s great, color and thanks for that answer. If we look at the revision that you make to the guidance for 2014 and beyond, the addition of $20 million from this business isn’t that would which we should be adding to the forecast as well and why is it only $10 million.
Robert B. Espey: Thanks Carson, thanks for the question it allows us to give more color on that and it’s one of the reason we did one to reconfirm the guidance. When we made some assumptions around our outlook one of the things that we couldn’t give, if you recall during the Analyst Day we said, we think we’re the only company on the planet that’s giving guidance for the next three years but we can’t give you guidance for the current year and it's because we had refiners margin in the current year and we couldn’t disclose how much we’re projecting that to be and we couldn't disclose how much they were. And we also couldn’t give you guidance on what we assumed we have an EBITDA by the end of this year. We have assumed in our planning that we would have at least $10 million in EBITDA by the end of this year. Fortunately we acquired 20 and so what it does it only increases our guidance by $10 million for next year. So we thought it was important that we get the guidance out as we announced this because we thought the logical things for everybody to do would, we raised our targets by 20 million. We have already assumed the 10 million would be in there.
Carson Tong - RBC Capital Markets: That's it for me. Thanks guys.
Robert B. Espey: Thanks
Operator: And our next question comes from the line of Derek Dley from Canaccord Genuity. Your line is open.
Derek Dley - Canaccord Genuity: Thanks guys, congratulations on the acquisition looks very good. When I just kind of run some quick pro forma numbers here I still get a balance sheet that is under levered below your guide, 2.0 times target, so can you just comment on the acquisition environment looking ahead. And you said in your prepared remarks there is still a number of opportunities but again looking at the balance sheet you guys are still primed for acquisitions and just a little bit more color on what you’re seeing out there?
Robert B. Espey: Okay, thanks Derek. It’s funny, I've used the term under leverage and I used it reluctantly because I would tell you that we like being under levered and it is exactly because of what you’re saying. We still see the pipeline as being very robust and we always want to have the ability to right attack, even if the market conditions aren't positive on the debt side, even otherwise and I’m not saying they’re not, they are, but we always want to have that ability to be able to right track as big as it may need to be but the message were sending to everybody as we’re keeping our balance sheet strong because the pipeline is very robust. We -- our negotiating intentions are what they’re so we tend to not overpay and so the deals may never happen but the pipeline is very robust and I’m looking at Irfhan and he is smiling. And he is smiling like he knows something that we don’t and so we are pretty optimistic.
Derek Dley - Canaccord Genuity: Okay, that’s great. With SPF, given that it's predominantly retail business with some wholesale transact, in terms of the margin per liter, is it safe to assume that we should sort of model that in line with how we model your guidance of existing retail business?
Michael R. Lambert: Again the so the mix is roughly 70% commercial wholesale and then the balance 22% dealer and the 8% company owned sites. The margins are different here right so you can’t just take out your model with Canadian margins and roll it forward. This business is on a margin base and I think we’ve disclosed the gross profit here, you’ll see because the mix is skewed towards the wholesale commercial here, these cent per liter will be a little less than what you would see in our business.
Robert B. Espey: Yes and I’ll be more tiled towards retail then our retail margin. Sorry we have to stop there there's another train going by. It is tilted towards lower margin. The other very positive thing about this and it also strikes a little bit at the slightly higher multiples then we’ve paid in the past is that it's very low CapEx. I mean that’s what we find in our business, the wholesale business, at retail tends to be a little bit less CapEx so this is a little bit less CapEx if you are modeling Derek that you can put in little less CapEx than you see in our financial statements.
Derek Dley - Canaccord Genuity: Okay and then just touching on the quarter. On the commercial side, on the commercial volumes looks like your volumes when your sort of strip that of one times were roughly flat. And this compares to at the beginning of the year when we were looking at volumes that were down 10%. Have you guys put this into your guidance. I know when you guys gave your guidance at your investor day you were assuming a similar type of -- you’ve been very in your guidance in assuming commercial volumes sort of stay where they have been. Actually wonder if you guys update your guidance at all for what looks like rebounding commercial volumes organically?
Robert B. Espey: We do see and we do see some slight growth year-over-year going into next year and again as I’ve indicated in the quarter we won about 80 million liters of new business that will roll into Q4 and the balance of the following year. So we’ve modeled some of that growth into our budget going forward.
Derek Dley - Canaccord Genuity: Okay that’s great, thank you very much.
Robert B. Espey: Thanks Derek.
Operator: (Operator Instructions). Your next question comes from Alex Syrnyk from BMO Capital Markets. Your line is open.
Robert B. Espey: Hi Alex.
Alexandra Syrnyk – BMO Capital Markets: Hi good morning. What’s different thing about the strategy in terms of entering the U.S.? I mean I understand that you are acquiring in a very high growth region. But just going back to your investor day, I know that question been asked about the presence for Canadian-based acquisition versus the U.S. base. I think the answer at that stage was that you were still seeing a lot of opportunity in Canada and that’s where you would likely stay. Can you tell me the different strategy there?
Robert B. Espey: Sure I mean we’ve always said we would grow around our supply strength and we still do see lots of opportunity in Canada and again the pipeline of opportunity is very robust in Canada. However when we looked at quickly after buying Elbow River one of the opportunities in the Western supply orbit is to export product and that made us start to look at opportunities just south of a Canadian border and that’s when this acquisition fit very well and gives us enormous potential supply opportunity that we can apply on screen on the business so that’s the strategic rational. Again I couldn’t see us going and buying a business in the Southern U.S. for example and in California as much as I’d love to buy business there. It just wouldn’t make strategic sense. Strategically it fits very well because of proximity to Canada and the fact that it is contiguous to the Western Canadian supply orbit.
Alexandra Syrnyk – BMO Capital Markets: Okay. And do you see further opportunity within this region for additional acquisition?
Robert B. Espey: Yes, it’s still a very fragmented market here and it’s very much a jobber market as opposed to a major oil market. Again you have to keep in mind this area has grown significantly in the past five years and traditionally rural market that was serviced by local jobbers and so there is a good opportunity here from a consolidation perspective.
Alexandra Syrnyk – BMO Capital Markets: Okay, great. And then just lastly I think you mentioned earlier in your comments you mentioned the growth that you are seeing, you are seeing a growth rate in the acquired unit of about 10%. Is that referring to volume or are you talking EBITDA there or gross margin or what?
Robert B. Espey: The economy here has grown by 10%. I mean this business has had some significant growth. The key constrain as been supply and in fact in the last couple of years the volumes have been static because of supply constrains and again the plan is to assist with that through our supply capability and we foresee some good growth here over the next two-three years as we get that to work.
Alexandra Syrnyk – BMO Capital Markets: Okay, great. I will turn it over. Thank you, guys.
Operator: And we have no further questions in queue. I will turn back to the presenters.
Robert B. Espey: Great, thank you very much and feel free to give us a call if you have anything further. Thank you for participating today.
Michael R. Lambert: Great, thanks very much and we look forward to talking to you guys early in the New Year. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.